Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Compugen Ltd., Second Quarter 2012 Financial Results Conference call. All participants are at present in a listen-only mode. Following management’s formal presentation, instructions will be given for the question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded, August 7, 2012. With us online today are Mr. Martin Gerstel, Chairman of the Board, Dr. Anat Cohen-Dayag, President and CEO; Dr. Mary Haak-Frendscho, Chairperson of the Board for Compugen Incorporated and Ms. Dikla Czaczkes Axselbrad, CFO. I would like to remind everyone that the Safe Harbor language contained in today’s press release also pertains to all content of this conference call. If you have not received a copy of today’s release and would like to do so, please contact Dikla Czaczkes Axselbrad at 972-376-585-95. Mr. Gerstel, would you like to begin?
Martin Gerstel: Yes, thank you very much. And on behalf of all of us with Compugen, welcome to our Q2 2012 conference call. I am now in California at our regionally established monoclonal antibody facility with Dr. Mary Haak-Frendscho, Chairperson of Compugen Inc, while Anat, our CEO; and Dikla, our CFO are at our offices in Israel. Hopefully this geographical difference will not create any problems during our call, but if it does, I apologize in advance. After my introductory remarks, Mary will report on the progress to-date and expectations we have with respect to our monoclonal antibody operations, followed by Anat, who will provide a status update with respect to the two product candidate arms of our pipeline program. The call will then be opened for any questions you might have. In the interest of time, in sense there is nothing unexpected in our financial results for the quarter other than the effect of both non-cash income and non-cash expenses, we will not address these results in our prepared remarks, but please feel free to raise any questions you may have regarding them in the Q&A session. This is a very exciting time for us at Compugen, after committing more than a decade to the creation of a truly unique predictive biology discovery capability and then in the last two years focusing this capability on therapeutic monoclonal antibodies and therapeutic proteins for use in oncology and immunology. We are now clearly demonstrating in a number of ways to potential value of the capability we have created. First, our B7/CD28-like molecule program which was our initial focus discovery efforts was extremely successful with the identification of a significant percentage of new B7/CD28 family members compared to the total number previously reported worldwide, results which far exceeded even our own expectations. This is a truly a remarkable achievement when you consider the high level of interest and likely orders of magnitude greater efforts undertaken during the past decade by others in both academia and industry utilizing various discovery methodologies in order to identify the previously known members. Secondly, likely based on the success of our B7/CD28-like discovery efforts, we have today a therapeutic pipeline program consisting of approximately 30 product candidates at various stages of validation and pre-clinical development in our areas of focus. Thirdly, in addition to our accomplishments in our areas of focus, we have in parallel identified opportunities to further develop and commercialize certain of our discoveries in diagnostic and/or therapeutic areas outside of these areas, whereby our shareholders would obtain the right to share in any future success from commercializing these discoveries but without the need to commit any further Compugen financial resources. In recent months, we have announced a number of agreements including the announcement during the last quarter of the joint establishment with Merck Serono of a new biomarker company. And we expect to announce additional such arrangements in the future, thus significantly extending our strong base for future growth in shareholder value beyond our initial areas of focus. As a discovery company, our underlying strategy is to maximize the returns to our shareholders from our multiple candidates through licensing and other arrangements with the industry and to do so at pre-selected key value enhancement point, relative of course to the cost of getting to these place [ph]. This business model offers exceptional potential shareholder value through the matching of our unique discovery capabilities with the enormous development capabilities existing in the biopharma industry but without any broadly applicable systematic source for attractive product candidates such as we have established. The most recent decisions we have made in implementing the strategy and business model were; first, to provide further differentiation for our multiple product candidates, and second through license our monoclonal antibodies themselves rather than just the targets that we discover and validate. Anat in her remarks will provide additional information about our ongoing differentiation efforts. With respect to monoclonal antibodies, although the quality of the target is the most critical variable determining the value of any monoclonal antibody therapy, it is clear that under most circumstances we would achieve much greater value and leverage our discoveries more fully by licensing out the monoclonal antibody therapeutic candidates rather than the target. In both cases, we are confident that the additional efforts we are undertaking would be more than compensated for by the times we should be able to achieve upon licensing the candidates, assuming of course continuing development success. Therefore, as the final piece of infrastructure required with regard to implementing our strategy for our current areas of focus, we were extremely pleased that Mary, a world recognized expert in the monoclonal antibody field agreed to take the lead in establishing a monoclonal antibody development capabilities for us here at Compugen Inc in South San Francisco. In summary, based on our long-term and consistent efforts to create a predictive discovery capability and implement our business model, Compugen currently represents a truly unique company in the industry. A company that not only has a substantial current pipeline of molecules, targeting areas of high industry interest which are very early stage continued to advance successful under our direction but also a prudent discovery capability for the further systematic discovery of product candidates with our current and future areas of focus. Lastly with respect to a related request from that we are often asked that is when can shareholders expect to see the full substantial agreement on a product from Compugen’s pipeline program? I can state the following. First, our goals with respect to our most advanced Fc-fusion therapeutic proteins continued to be successfully met, with several of them already at the pre-clinical stage of development. Therefore it is reasonable to expect that our first pipeline product agreements would be based on these Fc-fusion proteins. Second, the number of attractive product candidates in our pipeline program combined with the expanding on the results that we have achieved and continue to achieve support our strong expectation that our pipeline program will be the source for multiple industry collaborations. And lastly, in our ongoing discussions with an increasing number of potential collaborators and license fees, we continue to see a growing interest in both our product candidates and our unique discovery capabilities. As I hope you can appreciate, it is not possible to be more specific regarding timing, since no matter what the stage at any discussions might be, one can never (inaudible) or even more a specific agreement with a third-party would be finalized. However, it is very important to remember that unlike most other companies in our industry, Compugen’s future is not dependent on one or two product candidates. Instead after many years of high risk investment in establishing our unique capabilities, during which we had very little solid evidence to demonstrate its potential value to either pharmaceutical or the financial world, Compugen is now successfully validating its initial wave of product candidates from a substantial and very attractive therapeutic pipeline, which in turn was created through only the initial use of a systematic broadly applicable predictive discovery capabilities. That’s my opening comments that this is a very exciting time at Compugen. And with that I am pleased to turn the call over to Mary.
Mary Haak-Frendscho: Thank you, Martin. As you know I decided to join the company after seeing the truly remarkable pre-clinical evidence of the predictive power of the Compugen’s target discovery capabilities and meeting with exceptional scientists in Israel. It has been a terrific opportunity for me to establish Compugen Inc as the world-class antibody discovery and development operation with the mission to select the most promising novel and pre-clinically validated targets discovered by the parent company and translate them into compelling human therapeutic antibody drug candidate. Today it is my pleasure to participate in this call and tell our shareholders and other listeners about Compugen Inc, its novel antibody initiatives and to summarize their achievements to-date. In less than four months, we’ve established our South San Francisco operations including the required modifications to our purpose built facility, the recruitment of top personnel and the installment of enabling equipment and technology. Moreover with Compugen’s collective scientific expertise, we have prioritized and initiated several antibody programs based on Compugen’s exciting catalog of targets. Most importantly we successfully recruited Dr. John Hunter who has extensive scientific and managerial experience in this area to take the responsibility of site head. As industry veterans, John and I were able to leverage our broad network of experts in antibody drug discovery and development to rapidly assemble and Enviar [ph] protein within average of over a decade of industry experience in antibody drug discovery and pre-clinical product development. Of course we had the advantage of being located in South San Francisco, the birth place of biotech and a world’s leading center for antibody research and development. Since the antibody drug discovery and development here in San Francisco was built as a Greenfield operation, we have been integrated with the complementary predictive target discovery and validation research function in Israel right from the start. The tight collaboration between the two sites with directed and prioritized antibody targets to further enhance Compugen’s expanding biologics pipeline. Indeed in biopharma where novel targets are scarce, it is a rare abundance of riches to have the luxury of target selection. To begin showing the antibody pipeline we chose heavily from Compugen’s novel B7/CD28-like family of molecules. The B7/CD28 protein family of co-stimulatory molecules also known as immune checkpoint regulators are of very high pharmaceutical industry interest for addressing unmet medical needs for the treatment of both oncologic and autoimmune diseases. Historically, this family of molecules has proven to be very difficult to define by traditional discovery methods. However, in notable contrast Compugen’s predictive discovery message have revealed nine new members remarkably increasing the number of B7/CD28-like proteins from the universally known sets. This bodes very well for our ability to discover and advance first-in-class antibody drug candidate, not only in this fields but in future areas of interest. It is important to note that in the scientific literature there continues to be very positive clinical validation for the B7/CD28 protein family. For example, therapeutic antibodies direct to begin several known family members recently have been reported who have remarkable efficacy in cancer patients with certain late stage diseases. In addition to these proprietary antibody target initiatives to add depth to our price line, Compugen intends to include several targets for kinase inhibition and antibody drug conjugate therapy. Although some of these targets may have been previously known through the use of Compugen’s predictive discovery capability, we are obtaining insights for clinically meaningful product differentiation. Kinases are well known as key regulators of cell functional that casts to one of the largest and most functionally diverse gene families. They direct the activity, localization and overall function of many proteins and are therefore considered a key target for cancer therapy. Antibody drug conjugates were a cancer specific antibody is linked to an extremely important chemotherapeutic agent or payload or a transformational and clinically validated new drug product. With an antibody drug conjugate, the antibody typically targets the cancer cell where upon the payload is released and selectively kill the tumor cells. Thus these drug candidates have best drug attributes of both antibodies and chemotherapeutics giving rise to our more efficacious multi-mechanism cancer drugs with improved safety profiles. In summary, I am very pleased to report how quickly and efficiently we have extended Compugen’s core competencies and value chain in the antibody discovery and pre-clinical development area. Our short-term goals are to continue to aggressively prosecute antibody targets, selected from the constellation of targets coming from Compugen’s industry leading discovery and validation platform, with the initial prioritized antibody program specifically addressing solid tumors where there is a high unmet medical need and with a heavy emphasis on the cancer immunotherapy area. Our development efforts will include generating the first wave of therapeutic antibody drug candidates with demonstrated proof of concept in relevant disease models, selecting lead candidate antibodies for further pre-clinical developments and if required for certain monoclonal antibodies, also selecting an appropriate antibody drug conjugate technology. On a more personal note, for the past half year I’ve been largely devoted to establishing the site, recruiting key personnel, setting strategies and overseeing early operations. Today, I am delighted to report that day-to-day operations are now clearly in Dr. John Hunter’s proven and very capable hands. Going forward in my role as Chairperson of the Board for Compugen Inc, I will focus on supporting key business and strategic initiatives and on interactions with the industry with respect to antibodies. And with that, I turn the call over to Anat.
Anat Cohen-Dayag: Thank you, Mary. As mentioned by Martin, today we’re delighted to update you on the progress we have achieved with respect to the two distinct product candidate streams in our pipeline programs heading for commercialization through licensing and other forms of collaboration. Monoclonal antibody therapeutic, primarily for oncology and Fc-fusion protein therapeutics, primarily for autoimmune diseases. With respect to monoclonal antibody therapeutics, we are delighted by the speed with which we have established and initiated activities at our South San Francisco operation. But even more important are the outstanding quality of the team that has been assembled and the level of communication which has arisen between them and the teams in Israel, thereby facilitating the selection of compelling targets from Compugen’s inventory of candidates, some of which have yet to be disclosed along with the establishment of aggressive work plan and timetable. As indicated by Mary, to begin filling our mAb development pipeline, we chose leading targets predicted by us to belong to the B7/CD28 family. A key reason for us to first focus on these protein family, is a predicted function as a new checkpoint regulator, proteins which are now emerging as game changers for cancer immunotherapy. CGEN-15001T and CGEN-15022 are two drug targets predicted by us to belong to the B7/CD28 family of immune checkpoint regulators and both have been discussed by us in the past with respect to their discovery and initial validation. Today, I would like to use the exciting results that we have obtained for these two drug targets to exemplify the important value enhancing role of early stage product differentiation for Compugen in view of our unique ability to identify multiple potential for the candidates with its discovery efforts. I will also relate to this product differentiation aspect when I later discuss our execution for the candidates. CGEN-15001T and CGEN-15022 were the first of nine in silico predicted novel B7/CD28-like proteins to undergo validation. We are very excited that recent test results indicate the CGEN-15022 is expressed in numerous types of epithelial cancer with significant unmet clinical needs such as liver, colorectal, lung and ovarian cancer. In contrast, test results for CGEN-15001T show that it is expressed in complementary set of solid cancer and in a set of metallurgical malignancies such as prostate cancer, melanoma, Hodgkin’s lymphoma and non- Hodgkin’s lymphoma such as T and B cell lymphomas.. These expression profiles in different cancer presenting significant unmet clinical needs provide important distinction and product differentiation between these two novel targets, although the molecules themselves were discovered by the same predictive methodology. Together with our previously disclosed results pointing to the negative co-stimulatory activity of each of them this results strongly support the potential of CGEN-15001T and CGEN-15022 as compelling drug targets for the treatment of different cancer indications through monoclonal antibody immunotherapy. As suggested by Mary’s reference to the abundance of riches from which our California subsidiary can make target selections, we have a number of additional targets both in the B7/CD28-like family and otherwise that have not yet been disclosed. We intend to diversify our South San Francisco antibody pipeline with its targets and with additional targets to be identified by our team in Israel through the application of new discovery prioritization and selection criteria. These include targeting standards for antibody drug conjugate therapy and protein kinase inhibition. Therefore as we move forward, we expect to be able to systematically supply our California subsidiary, we’ve prioritized ways of compelling novel pre-clinically validated target candidates. As most of you are aware, last year we entered into an arrangement with Baize Investments for the financial support of the startup of our mAb operations in California. One result of our mAb target selection and prioritization activities has been the recognition that some of the specific targets included in that arrangement no longer fully reflect our near-term mAb development programs. Therefore, during the past quarter, we announced the Baize agreement had been amended to modify the list of targets included and to reduce the total number of targets from 12 to 8. Consistent with these reductions, the payment schedule was modified such that the remaining $6 million due under the agreement would be received by Compugen by year-end 2012. As reported in today’s press release, subsequent to June 30, 2012, the first payment of $1 million under these revised schedule was received by Compugen. I would like now to move to the second arm of our pipeline program, protein therapeutics. As previously mentioned, in addition to serving as targets for monoclonal antibody treatments in oncology, our B7/CD28 molecules also provide us with the potential to develop Fc-fusion proteins for the treatment of various autoimmune diseases. These activities including predictive discovery, validation and development are managed by the team is Israel. As previously mentioned and quite remarkably, five out of the first six Fc-fusion product candidates tested have been shown to be efficacious in relevant autoimmune disease models. These represent an extraordinary rate of early stage success in comparison with industry experience. A number of these candidates have entered early product development stages with our most advanced candidate programs now focused on defining the lead molecule for IND enabling studies and extending the relevant therapeutic utilities we’re testing in animal models of additional autoimmune diseases and studies relating to their mode of action. As we continue our development activities for these Fc-fusion protein therapeutics, we’re in active discussions with a number of leading pharma companies regarding various forms of collaborations for product to development and commercialization. We’re very pleased by the interest now being shown in these candidates and optimistic about our ability to enter into partnership with the industry based on them [ph]. However, predicting an exact timetable for such partnership which we understand the front interest to our shareholder is never possible with any certainty, but please, do not interpret our inability to provide a timetable as an indication of lack of optimism on our part. In addition to our continued success with our early stage development activities, another reason for our increasing optimism regarding the commercial value of our pipeline, our recent industry collaborations for pre-clinical stage biologics. Terms for reported agreements vary greatly with up on payments and research funding ranging from a few million to tens of millions of dollars and total deal value not including royalties from tens to hundreds of millions depending on manufacturers such as product indication, technology, mechanism of action, superiority profile, et cetera. In addition, in view of the importance of early stage product differentiation in catering the value of Compugen’s unique ability to identify multiple potential for the candidate, with its discovery effort, I would like to provide some more detailed information regarding our ongoing activities in this regard for our Fc-fusion B7/CD28-like proteins. Included in the differentiation activities for these candidates are multiple studies by our collaborators in academia and by ourself with initial indications of differences between some of our B7/CD28-like molecules among themselves and from standards of care therapy. In our studies, each of our therapeutic Fc-fusion proteins based on our B7/CD28-like molecules has demonstrated the ability to attenuate inflammatory T-cells. Attenuation of T-cells is upstream in the autoimmune case affecting multiple downstream inflammatory pathways. Therefore our diabetic candidates has the potential for improved efficacy and to address a larger patient population compared with most current standards of care drug such as the most successive biologics drug class of painless inhibitors which influence a specific downstream inflammatory pathway. As already demonstrated for some of our Fc-fusion candidates including CGEN-15001 and CGEN-15021, the in vivo therapeutic effect is long-term and the disease does not rebounce with treatment withdrawal. This suggests the treatment with these Fc-fusion proteins has to this progression and has the potential to induce long-term remission and tolerance that are highly desirable for long-term management of chronic autoimmune diseases. Furthermore, targeted intervention towards such as genis [ph] T-cells as opposed to global inhibition of T-cell activation by other agents should lead to therapeutic effects while leaving general immune responses active to fight infections and malignancies. This was demonstrated for CGEN-15001 in a viral infection model where treatments with CGEN-15001 did not result in exasperation of the viral infections, so the general immune system was capable of fighting the infection. This is in contrast to reported exasperation duration in the same model of derived viral infection by CTL lympho IG [ph] and last version of the rheumatoid arthritis drug, Orencia, currently one of the leading treatments of rheumatoid arthritis. This demonstrated absence of global immune suppression by CGEN-15001 should lead to a safer therapy with reduced risk of infection as opposed to the significant risk posed by approved biologics for autoimmune diseases. CGEN-15001 will be the subject of the presentation by Professor Joseph Podojil from Professor Miller [ph] of Northwestern University lab at the European Congress of Immunology this September in Glasgow. This congress is held once every three years with over 5,000 participations. It is the largest gathering of European immunologists and a prime event to present new innovative research and therefore we are very pleased to participate through Professor Podojil’s presentation. The new advances that we have made in the phase of B7/CD28-like immune checkpoints for both our Fc-fusion proteins and the drug targets from mAb therapy continued to raise the interest of key opinion leaders in this therapeutic field. Consequently, our efforts will now progress with an extended network of new and existing expert collaborators to further demonstrate the potential advantages and superiority of our product candidates and their differentiation profiles. And with that, we will begin the Q&A portion of this conference call. Please note that we would appreciate if each time you are recognized by the moderator, you will limit your questions to one, plus a short follow-up if necessary.
Operator: Thank you. Ladies and gentlemen, at this time we will begin the question-and-answer session. (Operator Instructions) Please stand by while we poll for your questions. The first question is from (inaudible) from Deutsche Bank. Please go ahead.
Unidentified Analyst: Hi, this is a question on the cash position and the cash burn. So the question is – it’s a larger size of a question but (inaudible). So the current cash position, cash burn this year and next, expected cash balance at the end of next year and possible need for financing or not? Thanks.
Martin Gerstel: This is Martin. As I had shown in our report that was issued today, as of the end of June we had almost $22 million of available cash. And this is what I considering the value of our average insurers [ph] worth those $6 million that at that time was remaining to be played during this year by days under the revised schedule, of which we recently received of course $1 million. Also as shown, we have no long-term debt of any type. So therefore, we now have sufficient cash resources in hand that take us well into 2014 at our current and expected burn rate without any additional tax from new agreements or any other source. So as we look at the situation, we don’t see any short-term issue and we see many upside opportunities with the receipt of cash beyond the issue of new equity. In any case, I think we had shown – we have managed the company (inaudible) as both conservatively and in the best interest of our shareholders. And I can assure you that we will continue attempt to do so in the future.
Unidentified Analyst: Okay, terrific. Thanks.
Operator: The next question is from Brian Coleman of Hawk Hill Investments. Please go ahead.
Brian Coleman – Hawk Hill Asset Management: Great, thanks. First, the initial and may be new targets itself, San Francisco, is there the resources in place to develop those eight simultaneously or is there some kind of a prioritization that happens? And also what is the timing, I guess it’s about usually ballpark about 18 months to develop and maybe target that’s ready to go clinical trial. Is there an opportunity to monetize some of those maybe therapeutics before we get to that point?
Mary Haak-Frendscho: Okay, this is Mary. So to answer your first question, which is the loading of the pipeline. So we prioritized the programs and we are loading them up sequentially, so there is a little bit of staggering. And then to accelerate, we are also working with CROs in order to see the pace at which we load up those programs. And for the second part of your question, I think that 18 to 24 months is pre-clinical proof of concept and looking at them whether that decision point of whether those are worthy to perform the IND enabling activities, I think the time needs about right there and I think it is possible to partner certainly at that time and I think depending – well I’ll let Anat address the partnering aspect.
Anat Cohen-Dayag: Yes, thank you Mary. With respect to our antibody programs, we are seeing interest from several big pharma companies in the targets that we’re now publishing on. And this is particularly since the establishment of our California operation. It helped the site that we have the ability to take them into development changes. So although I would not rule out the possibility of an earlier collaboration at the target level, we are moving forward on the assumption that to maximize the shareholder value from these arm of our pipeline programs, we’ll be licensing out the actual monoclonal antibody candidate instead of the targets. And as Mary indicated, gave some insights about the timelines. And Martin would you like to add to this?
Martin Gerstel: My only comment would be based on a number of conversations that I’ve had with our shareholders, there might be some confusion here because hopefully I tried to clear that in our prepared remarks. It is our expectation that the initial product agreements from our pipeline will come from the protein therapeutics and not from the monoclonal antibodies. The Fc-fusion protein or the most advanced ones are already in pre-clinical stage and therefore I think and what is a research-oriented collaboration which of course is possible that we will – we’ll have timing on them. And that’s exact type of a collaboration in the monoclonal antibody deals. Again, the initial commercialization collaborations will almost certainly be based on our Fc-fusion proteins.
Brian Coleman – Hawk Hill Asset Management: Okay, thank you. And my follow-up, if Anat, if you could just provide a little bit more clarification on why the number of discoveries covered by the base agreement went from 12 to 8?
Anat Cohen-Dayag: Yes. When we have initiated the activities in the San Francisco operation, the scientists together were sitting and prioritizing from hours of work of targets, which targets should enter first to the operation. It doesn’t mean that the others will not enter later and of course that is under the Baize agreement was not reflecting all the different candidates that we have in our reserve one as I indicated in my script, there are candidates that we’d never even disclose. So during this prioritization and the decision to focus on couple of these candidates we have decided to make this change.
Brian Coleman – Hawk Hill Asset Management: Okay, thank you.
Operator: The next question is from Christopher Hernandez of Gilder Gagnon Howe. Please go ahead.
Christopher Hernandez – Gilder Gagnon Howe: Hi, thanks for taking my questions. I am wondering whether you can give a little more color on exactly how you’re predictive technology works, scientifically speaking. I mean let’s say you identify an interesting target into proteins, do you somehow map that protein in 3D space and then use some sort of super advanced protein folding simulator to determine what sort of finding site you would need, or can you just elaborate on that a little bit?
Anat Cohen-Dayag: Yes, sure. We are using different type of information in order to answer the need that we’re having for specific platform unmet needs. Usually we’re not focusing on three dimensional structures but what we’re doing is we’re netting protein-protein interaction. We are trying to focus on binding areas, we’re getting the information from pathway analysis and mutations, so information that is based on the level of the DNA, the RNA and protein and sometimes peptides, and we try to relate all these into drug information and the disease information. So in general this is comprehensive analysis of information that we can put our hands on. I must say that what we are doing here at Compugen is different from what is done outside there is that we are using – that we’re using all the available information that may be can also used by others with very, very strong algorithms which allow us to do two things. First, to combine the data in a way that we think is unique and to be able with strong algorithms to extract information that is not known and therefore when we are saying predictive discovery approach, it means that we are predicting stuff that is not known to the industry and this is why Compugen can allow itself to focus a novel target that are not known to the industry and generate novel solutions for the disease with unmet needs.
Christopher Hernandez – Gilder Gagnon Howe: Okay, thank you. That’s helpful.
Operator: The next question is from Mara Goldstein of Cantor Fitzgerald. Please go ahead.
Mara Goldstein – Cantor Fitzgerald: Great, thanks so much. I have two questions and one is just around development spend and how you think about that from prioritization perspective since you are doing this forward integration and to struck development as opposed to your only target validation and so how you think about splitting up that money between those two different efforts? And then somewhat dovetailing on that is that you’ve spoken about the possibility of doing partnerships for targets as well as for these candidates that you’re developing but what I am curious about is the opportunity to both partner the target and the compound and if I think in my memory bank two companies that have preceded you and have started target companies and then develop their own drugs, we’ve often seen these what I would say is combined arrangements and I am curios to hear your thoughts on that?
Anat Cohen-Dayag: Okay. So with respect to dividing the resources, as you indicated we have the both arms. And we are at the early stages of development and in these stages we can allow ourselves with the resources that we have in the company to split the resources between what is required to advance as many as possible therapeutic proteins, Fc-fusion therapeutic proteins and the target themselves. So at this stage, this is something that we believe we can proceed forward with and this is what we are doing. And we think that we can bring these until the stages that we are able to collaborate to get into partnerships on these candidates and then it will allow us to move forward with a next wave of our discoveries and to put more focus on them and to move ahead with our – speeding our resources. With respect to the commercialization and what you’ve mentioned the targets and the Fc-fusion, in this respect the Fc-fusion proteins are directed into autoimmune diseases. They have their specific set of indications that are based on the function of this specific proteins, while the drug targets are distinct and are drug targets that should be directed for oncology and therefore the monoclonal antibodies will be directed to cancer disorders. In this respect we don’t – we see the option of getting into partnership that are different for each and every candidate and each and every type of biologics. So for the Fc-fusion on one hand and for the targets in the monoclonal antibodies on the other hand. Nevertheless there is also an option for having a partnership with pharma partners that we’ll have the interest to proceed with the two arms that are outstanding from the same target namely the Fc-fusion of the specific protein and its monoclonal antibodies that is targeting the same target. There is also the option to do these, but definitely we’ve got two different product candidates that should answer different unmet clinical needs.
Mara Goldstein – Cantor Fitzgerald: Okay, thank you.
Operator: The next question is from Brett Reiss of Janney Montgomery Scott. Please go ahead.
Brett Reiss – Janney Montgomery Scott: Thank you for allowing me to ask the questions. First one, the differentiation that the drug companies wanted to see on the proteins before they would commit, could you give us an update how far along you are on that?
Anat Cohen-Dayag: Can you repeat the question, we couldn’t hear it well. Sorry.
Brett Reiss – Janney Montgomery Scott: The differentiation that the large pharma companies wanted to see on the proteins you’re presenting to them, it’s been holding up deals. Could you give us a sense of how far along you are on that?
Anat Cohen-Dayag: As I stated in the script and as I related to it, we have and I also studied in the last call, we have established the work plans in order – at the last call I relatively decided we have established the work plan in order to answer the different questions and that is not directly specifically for the candidates that Compugen is dealing with, being able to differentiate from drugs that are in development or in the market is something that is required. We’re moving ahead with this work plans and today in the call I was pleased to remark that we already starting to see results in these terms of differentiation both for the drug targets, for example, these two that I just stated that are showing results in complementary sets of cancers not overlapping cancers and put direct to different type of indications and also for the other Fc-fusions that are showing some – they are pointing for clear differentiation with drugs that are standards of care. So we are very pleased with the results and we aim to progress. Still I think that we’re in discussions with a number of leading pharma companies concerning our product candidates and this is not holding the discussions but it is something that we are aware of the fact that we need to do it. This is the right thing for the company to move on with and we are pursuing full steam ahead.
Brett Reiss – Janney Montgomery Scott: All right. I appreciate that. And my second question, what are the expectations of the company in signing a deal with upfront money? Do we have any hopes or thoughts on that?
Anat Cohen-Dayag: As I stated in my talk, based on agreements that are out there with disclosed terms you could see that there is arrange in the terms – the financial terms of agreements that are signed. In this respect you could see deals that are with upfront payment and research funding ranging from few millions to tens of millions of dollars. So everything is dependent on the product indication, the technology, the mechanism of action, the superiority profile, we are working on all of these fronts in order to be able to maximize the value of our product candidates to our shareholders.
Brett Reiss – Janney Montgomery Scott: Thank you very much.
Operator: There are no further questions at this time. Before I ask Dr. Cohen-Dayag to go ahead with her closing statement, I would like to remind participants that a replay of this call is scheduled to begin in two hours for a period of 72 hours. In the U.S. please call 1-888-326-9310. In Israel, please call 03-925-5904. Internationally please call 972-3-925-5904. Dr. Cohen-Dayag, would you like to make your concluding statements?
Anat Cohen-Dayag: Thank you. It has been prolong long journey to successfully establish a world leading in silico predictive discovery capability. Fortunately, we are now able to begin to demonstrate impressive results achieved through the first focuses of this unique and powerful capability as our past infrastructure building efforts bear fruit in the form of compelling further candidates. And it is certainly just the beginning. This journey would not have been possible without a support and patience of our long-term shareholders many of whom we see are on the line with us today. We look forward with much excitement to sharing with all of you, our achievements during the remainder of this year and in the years to come as our broadly applicable predictive capability only improves and expands with time with the expectation of providing for the first time a much needed systematic source of attractive product candidates for the biopharma industries along with very substantial increases in shareholder value. On behalf of all us at Compugen, thank you for your confidence in us and for joining this call.
Operator: Thank you. This concludes the Compugen Ltd., second quarter 2012 financial results conference call. Thank you for your participation. You may go ahead and disconnect.